Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2018 Hess Corporation Conference Call. My name is James, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jay Wilson, Vice President of Investor Relations. Please proceed.
Jay R. Wilson - Hess Corp.: Thank you, James. Good morning, everyone, and thank you for participating in our second quarter earnings conference call. Our earnings release was issued this morning and appears on our website, www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the Risk Factors section of Hess' annual and quarterly reports filed with the SEC. Also, on today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the supplemental information which will be provided on our website. Now, as usual, with me today are John Hess, Chief Executive Officer; Greg Hill, Chief Operating Officer; and John Rielly, Chief Financial Officer. I'll now turn the call over to John Hess.
John B. Hess - Hess Corp.: Thank you, Jay. Welcome to our second quarter conference call. I will provide a strategy update, Greg Hill will then discuss our operating performance, and John Rielly will review our financial results. We continue to make significant progress during the quarter in executing our strategy, to grow our resource base in a capital discipline manner, to move down the cost curve so we are resilient in a low price oil – low oil price environment and be cash generative at a $50 per barrel Brent oil price post-2020. Consistent with this strategy, in June, we announced the sale of our joint venture interest in the Utica for a net cash consideration of approximately $400 million as part of our continued efforts to high grade and focus our portfolio by divesting lower return non-core assets. In addition to the $3.4 billion from our 2017 asset sales, these proceeds are being used to invest in our highest return assets, Guyana, which is one of the industry's largest oil discoveries in more than a decade, and the Bakken, our largest operated asset, where we have more than 500,000 net acres in the core of the play, as well as to fund our previously announced $1.5 billion share repurchase program and reduce debt by $500 million. During the quarter, we announced that we will retain our interest in Denmark where we hold a 61.5% interest in the South Arne field and are the operator. The offers received in a previously announced sale process did not meet our value expectations. Key to our strategy is our position in Guyana; the 6.6 million acre Stabroek Block where Hess has a 30% interest and ExxonMobil is the operator is a massive world-class resource that is uniquely advantaged by its scale, reservoir quality, cost, rapid cash paybacks and superior financial returns. As such, our first priority is to maintain a strong balance sheet and our investment grade credit rating in order to fund one of the most attractive oil investment opportunities in the world today. Earlier this week, we increased the estimate of gross discovered recoverable resources for the Stabroek Block to more than 4 billion barrels of oil equivalent, up 25% from the previous estimate of 3.2 million barrels of oil equivalent. The increase follows completion of testing at the Liza-5 appraisal well, discoveries at Ranger and Pacora and the incorporation of results from the recent Longtail discovery into the Turbot area evaluation. The Liza Phase-1 development that was sanctioned last June is progressing rapidly with first production of gross 120,000 barrels of oil per day expected by early 2020. Phase 2 of the Liza development, which is targeted for sanction by the end of this year, will use a second FPSO with gross production capacity of approximately 220,000 barrels of oil per day, start-up for Phase 2 is expected by mid-2022. The Liza-5 well was successfully tested the northern portion of the Liza field along with the giant Payara field will support a third phase of development in Guyana. Planning is underway for this third phase, which is targeted to be sanctioned in 2019 and will use an FPSO vessel designed to produce approximately 180,000 barrels of oil per day with first production as early as 2023. The Longtail discovery established the Turbot Longtail area as a potential development hub for recovery of more than 500 million barrels of oil equivalent. Additional prospects to be drilled in this area could increase this estimate. The total discovery discoveries on the Stabroek Block to date have established the potential for up to five FPSOs producing over 750,000 barrels of oil per day by 2025. There is potential for additional development phases from significant undrilled targets and plans for rapid exploration and appraisal drilling, including at the Ranger discovery. We continue to see multi-billion barrels of additional exploration potential on the Stabroek Block. In April, we extended our acreage position in the prolific Guyana-Suriname Basin by acquiring a 15% participating interest in the Kaieteur Block which is adjacent to the Stabroek Block. The Kaieteur Block is approximately 3.3 million acres or roughly the size of 580 deepwater blocks in the Gulf of Mexico. Also key to our strategy is the Bakken, where we have a premier position and a robust inventory of high return drilling locations. We added a fifth rig in June and plan to add a sixth rig early in the fourth quarter which is expected to generate capital efficient production growth, from an average of 114,000 barrels of oil equivalent per day in the second quarter to 175,000 barrels of oil equivalent per day by 2021 along with a meaningful increase in free cash flow generation over this period. During the quarter, we continued evaluating new completion techniques and initiated a comprehensive study to further maximize the value of this important asset. We plan to provide an update on these initiatives later in the year. Second quarter net production in the Bakken averaged 114,000 barrels of oil equivalent per day. For the full year 2018 we continue to forecast that Bakken production will average between 115,000 barrels of oil equivalent per day and 120,000 barrels of oil equivalent per day. Now, turning to our financial results, in the second quarter of 2018 we posted a net loss of $130 million or $0.48 per share down from a net loss of $449 million or $1.46 per share in the year ago quarter. Compared to 2017, our improved second quarter financial results primarily reflect higher realized crude oil selling prices and lower operating costs and DD&A expense, partially offset by lower production volumes primarily due to asset sales. Second quarter production was above the high end of our guidance range, averaging 247,000 barrels of oil equivalent per day excluding Libya, driven by strong performance across our portfolio. For full-year 2018, we reaffirm our net production guidance of 245,000 barrels of oil equivalent per day to 255,000 barrels of oil equivalent per day excluding Libya. This guidance includes the loss of production from the sale of our Utica joint venture interests and the benefit from the earlier than planned return of production from the Conger field in the Deepwater Gulf of Mexico. In summary we continue to make significant progress in executing our strategy and positioning our company to deliver long (09:09) and superior financial returns to our shareholders. I will now turn the call over to Greg for an operational update.
Gregory P. Hill - Hess Corp.: Thanks, John. I'd like to provide an update on our operational performance for the quarter as we continue to execute our strategy. In the second quarter, production averaged 240,000 net barrels of oil equivalent per day excluding Libya. This was above the top end of our guidance range of 235,000 net barrels of oil equivalent per day to 245,000 net barrels of oil equivalent per day and reflected strong performance across our portfolio. In the Bakken, we delivered another strong quarter despite some despite some curtailments related to heavy rains in June that caused a significant number of road closures. Second quarter Bakken production averaged 114,000 net barrels of oil equivalent per day. In the second quarter, we drilled 28 wells and brought 27 wells online. For the full year 2018, we still expect to drill approximately 120 wells and bring 95 wells online. In line with our previous guidance, we have added a fifth rig in the Bakken and plan on adding a sixth rig early in the fourth quarter. We also added a third frac crew early in the third quarter. We continue to see encouraging initial results from our pilot of limited entry plug-and-perf completions. Of the 95 gross operated wells we expect to bring online this year, approximately 25 are planned to be plug-and-perf. In late June, we announced an agreement to sell our JV interests in the Utica Shale play to Ascent Resources. Production from this asset was expected to average 14,000 net barrels of oil equivalent per day over 2018 and we expect this transaction to close by the end of the third quarter. In mid-July, Shell brought its Enchilada facility in the Deepwater Gulf of Mexico back online which allowed us to restart production from the Conger field. Production from Conger is in the process of ramping back up to its pre shut-in rate of approximately 15,000 net barrels of oil equivalent per day. Taking these factors into account, we forecast third quarter production to increase to between 250,000 and 260,000 net barrels of oil equivalent per day excluding Libya. We are maintaining our full year 2018 production guidance range of 245,000 to 255,000 net barrels of oil equivalent per day, as the earlier than expected return to production of the Conger field is expected to offset the production associated with the sale of our Utica joint venture assets. Both in the third quarter and for the full year 2018, we forecast that Bakken production will average between 115,000 and 120,000 net barrels of oil equivalent per day. We continue to forecast steady Bakken production growth to approximately 175,000 net barrels of oil equivalent per day by 2021 assuming a six-rig program. Now turning to the offshore. In the Deepwater Gulf of Mexico, production averaged 47,000 net barrels of oil equivalent per day for the quarter, in line with guidance and again reflecting approximately 15,000 net barrels of oil equivalent per day of production that was shut in at our Conger field over the quarter. For the third quarter, we forecast Gulf of Mexico production to average approximately 60,000 net barrels of oil equivalent per day. By the fourth quarter with all Enchilada-impacted fields back online and the continued ramp-up at Stampede, we forecast Gulf of Mexico production to average approximately 65,000 net barrels of oil equivalent per day. Moving to the Gulf of Thailand, production from our Asian assets averaged 63,000 net barrels of oil equivalent per day during the second quarter. At the joint development area in which Hess has a 50% interest, production averaged 37,000 net barrels of oil equivalent per day in the second quarter. Production is forecast to average approximately 36,000 net barrels of oil equivalent per day over 2018. At the North Malay Basin, where Hess holds a 50% interest and is operator, production averaged 26,000 net barrels of oil equivalent per day in the second quarter and is forecast to average approximately 26,000 net barrels of oil equivalent per day over the year. Now turning to Guyana. We announced on Monday that gross discoverable recoverable resources at the Stabroek Block, in which Hess holds a 30% interest are now estimated to exceed 4 billion barrels of oil equivalent, which is up 25% from the previous estimate of more than 3.2 billion barrels of oil equivalent. In addition, total discoveries to-date have established the potential for up to five floating production, storage and offloading vessels or FPSOs to produce over 750,000 gross barrels of oil per day by 2025. As we've said before, Guyana continues to get bigger and better. In late June, the operator ExxonMobil announced an eighth oil discovery at Longtail-1, which is located in the southeast of the 6.6 million acre Stabroek Block, approximately 5 miles west of the Turbot-1 discovery. The well was safely drilled to 18,057 feet in 6,365 feet of water in 26 days. It encountered approximately 256 feet of high quality oil bearing sandstone reservoir. With the success at Longtail, we believe the combined gross recoverable resources in the Turbot Longtail area exceed 500 million barrels of oil equivalent, and we continue to see several additional prospects in this area that could potentially take this estimate even higher. Post Longtail, the operator decided to perform routine maintenance on the Stena Carron. This provided an opportunity to complete the riser-less top hole section of Ranger-2 before proceeding to the Hammerhead-1 exploration well in the coming days. Hammerhead is located 9 miles southwest in – of the Liza discovery. In the coming days, the drillship will move to the Hammerhead-1 exploration well and following completion of the well operations on Hammerhead, the current plan is to return to Ranger. The Liza Phase 1 development sanctioned in June 2017 continues to make rapid progress. Development drilling began in May, laying the foundation for production start-up in early 2020. Liza Phase 1 will consist of 17 wells and an FPSO designed to produce up to 120,000 gross barrels of oil per day. Development drilling and construction of the FPSO and subsea equipment is progressing on schedule. Liza Phase 2 is on track for sanction by year end. The Phase 2 development will utilize an FPSO with a gross production capacity of 220,000 barrels of oil per day with first oil expected by mid-2022. Given the ongoing exploration success on the Stabroek Block and its significant remaining potential, the operator now plans to add a third drillship by the fourth quarter which will be dedicated to exploring and appraising the numerous high value prospects on the block. On the recently acquired 3.3 million acre Kaieteur Block offshore Guyana in which Hess holds a 15% participating interest, the 2018 work program will include processing and interpretation of 3D seismic data and evaluation of a future drilling program. In neighboring Suriname, Hess has exposure to an additional 4.4 million acres through our 33% interests in both block 42 and 59. We see these blocks as a potential play extension from the Stabroek Block in Guyana with similar play types and trap styles. The operator Kosmos plans to spud a first exploration well on a prospect called Pontoenoe in Block 42 by the end of the third quarter. In Canada, offshore Nova Scotia, the operator BP has spud the Aspy playtest well targeting a large subsalt structure analogous to those found in the Gulf of Mexico. BP and Hess each hold a 50% working interest in exploration licenses that cover approximately 3.5 million acres, equivalent to some 600 Deepwater Gulf of Mexico blocks. We anticipate results by the end of the third quarter. In closing, we have once again demonstrated excellent execution and delivery across our portfolio. The Bakken is on a strong capital-efficient growth trajectory and this combined with our sizable interest in the world class Guyana Suriname basin has positioned us for more than a decade of visible cash flow and production growth and improving returns and cost metrics. I will now turn the call over to John Rielly.
John P. Rielly - Hess Corp.: Thanks, Greg. In my remarks today, I will compare results from the second quarter of 2018 to the first quarter of 2018. We incurred a net loss of $130 million in the second quarter of 2018 compared with a net loss of $106 million in the first quarter of 2018. Our adjusted net loss which excludes items effecting comparability of earnings between periods was $56 million in the second quarter of 2018, down from $72 million in the previous quarter. Turning to exploration and production, on an adjusted basis E&P had net income of $21 million in the second quarter of 2018 compared to net income of $12 million in the first quarter of 2018. The changes in the after tax components of adjusted E&P results between the second quarter and first quarter of 2018 were as follows: higher realized selling prices increased earnings by $46 million, higher sales volumes increased earnings by $47 million, higher exploration expense reduced earnings by $25 million, higher DD&A expense reduced earnings by $23 million dollars, higher cash costs reduced earnings by $14 million, higher Midstream tariffs reduced earnings by $12 million, all other items reduced earnings by $10 million for an overall increase in second quarter earnings of $9 million. Turning to Midstream. The Midstream segment had net income of $30 million in the second quarter of 2018 compared to net income of $28 million in the first quarter of 2018. Midstream EBITDA before the non-controlling interest amounted to $126 million in the second quarter compared to $123 million in the previous quarter. Turning to corporate, after tax corporate and interest expenses were $191 million in the second quarter of 2018 compared to $109 million in the first quarter of 2018. After-tax adjusted corporate and interest expenses were $107 million in the second quarter of 2018, compared to $112 million in the previous quarter. Turning to our financial position. In April, we entered into a $500 million accelerated share repurchase agreement which was completed in June, bringing total share repurchases under our previously announced $1.5 billion repurchase program to $1 billion. Total shares purchased to date amount to 19.2 million shares at an average price of $52.18 per share. We plan to purchase the remaining $500 million of shares during the second half of 2018 and are targeting $250 million of purchases in the third quarter and $250 million in the fourth quarter. In the second quarter, we also purchased approximately $110 million of our public notes, increasing total debt retired to $500 million. Excluding Midstream, cash and cash equivalents were $2.5 billion, total liquidity was $6.8 billion including available committed credit facilities and debt was $5.5 billion at June 30. In the third quarter, we completed the purchase of WTI put option contracts that set a floor price of $60 per barrel on a notional 35,000 barrels of oil per day during calendar year 2019. Proceeds from the recently announced sale of our Utica joint venture interests are expected to be received in the third quarter. Turning to guidance, first for E&P, in the second quarter, our E&P cash costs were $13.37 per barrel of oil equivalent including Libya and $14.03 per barrel of oil equivalent excluding Libya which beat guidance on strong production and lower costs. We project cash costs for E&P operations excluding Libya in the third quarter to be in the range of $13 per barrel of oil equivalent to $14 dollars per barrel of oil equivalent, while full-year 2000 (sic) [2018] cash cost guidance remains unchanged at $13 per barrel of oil equivalent to $14 dollars per barrel of oil equivalent. DD&A expense in the second quarter was $16.85 per barrel of oil equivalent including Libya and $17.92 per barrel of oil equivalent excluding Libya, which was in line with guidance. DD&A expense excluding Libya is forecast to be in the range of $18 per barrel of oil equivalent to $19 per barrel of oil equivalent in the third quarter of 2018 and full-year DD&A expense guidance of $18 per barrel of oil equivalent to $19 per barrel of oil equivalent is unchanged. This results in projected total E&P unit operating costs excluding Libya of $31 per barrel of oil equivalent to $33 per barrel of oil equivalent for the third quarter and for the full-year of 2018. Exploration expenses excluding dry hole costs are expected to be in the range of $50 million to $60 million in the third quarter with full-year guidance remaining unchanged at $190 million to $210 million. The Midstream tariff is projected to be approximately $165 million for the third quarter with full-year guidance forecast to be in the range of $635 million to $650 million. The E&P effective tax rate excluding Libya is expected to be an expense in the range of 0% to 4% for the third quarter. The full-year effective tax rate is expected to be a benefit in the range of 16% to 20%, which is updated from the previous guidance of a benefit in the range of 0% to 4%. For the full-year 2018, our E&P capital and exploratory expenditures guidance remains unchanged at $2.1 billion. Our 2018 crude oil hedge positions remain unchanged. We have $50 WTI put option contracts on a notion of 115,000 barrels per day of production for the remainder of the year. We expect the non-cash amortization of premiums on our crude oil hedges will reduce our financial results by approximately $50 million per quarter for the remainder of 2018. For Midstream, we anticipate net income attributable to Hess from the Midstream segment to be approximately $30 million in the third quarter with the full year guidance of approximately $115 million, which is above the midpoint of our previous guidance. Turning to corporate, for the third quarter of 2018, corporate expenses are estimated to be in the range of $25 million to $30 million and the full year guidance is estimated to be in the range of $100 million to $110 million, which is down from the previous guidance in the range of $105 million to $115 million. Interest expenses are estimated to be approximately $85 million for the third quarter and the full year guidance is estimated to be in the range of $340 million to $345 million, which is also down from the previous guidance in the range of $345 million to $355 million. This concludes my remarks. We'll be happy to answer any questions. I will now turn the call over to the operator.
Operator: Our first question comes from the line of Bob Morris with Citi. Your line is now open.
Robert Scott Morris - Citigroup Global Markets, Inc.: Thank you. Congratulations John on the continued success in Guyana on that reserve update earlier this week.
John B. Hess - Hess Corp.: Thank you.
Robert Scott Morris - Citigroup Global Markets, Inc.: Greg. You're welcome. Greg, just some quick questions on the Bakken shale. I know that 40 of the 95 completions this year are supposed to be in the higher productive Keene area. How many of those 40 wells in the Keene area have you done in the first half of the year? And then also of the 25 plug-and-perf wells, how many of those were completed in the first half of the year?
Gregory P. Hill - Hess Corp.: Well, let me – thanks, Bob. And before I get started, I do want to correct something in my remarks. Our second quarter production was 247,000 net barrels of oil equivalent per day excluding Libya, I believe I said 240,000 net barrels of oil equivalent per day, which was obviously incorrect. Let me start with the plug-and-perf wells first. So we expect to do 40 of those this year, drill and complete, but only have 25 of those online. And as you said, we do expect to have 40 Keene wells online, seven of those will be plug-and-perf by the end of the year that will be drilled and completed. Regarding how many we've got done in the first part of the year, I think we have about 12 done in the Keene area in the first half of the year, so the remainder will come in the second half of the year. Now, what I should say is those Keene wells are doing extremely well, so they're outperforming their type curves at least on the wells that we've done so far by some 25%. So the results here have been very good. Also in the Stony Creek area, the wells that we have done there, again reminding everyone we're going to do 25 of those this year in Stony Creek, those were outperforming their type curves by around 40%. So Stony Creek and Keene are really the top two areas in this year's drilling program and then our East Nesson South and our Capa wells are performing at, about at expectation on the type curve. So Keene and Stony Creek are the ones to watch.
Robert Scott Morris - Citigroup Global Markets, Inc.: Okay, great. Thanks for that update.
Operator: Thank you. Our next question comes from Roger Read with Wells Fargo. Your line is now open.
Roger D. Read - Wells Fargo Securities LLC: Thank you. Good morning, and congrats on the quarter. If we could maybe just hit Guyana a little bit here. So if we look at the guidance of 750,000 or more barrels by 2025, and the expectations of barrels out of the first three FPSOs, we'd be implying kind of Liza-1 sized FPSOs at the minimum in terms of phases 4 and 5, and is that – should we think of them as upside to maybe where Liza-2 is, when we're trying to frame the overall impact of the development?
Gregory P. Hill - Hess Corp.: Okay, thanks. Thanks for that, Roger. A couple of comments there. I think first of all, in our messaging you note that we said that we see the potential up to five FPSOs to produce over 750,000 barrels a day. So that's one caveat. I think the other one – the other thing is, is that the ultimate size and timing of those last two vessels very much in the scoping phase, and it's going to be a function of a lot further exploration and appraisal drilling as well as detailed engineering work. And again, these are massive reservoirs with very large areal extent and multiple horizons. So those are directional numbers. Let's get that appraisal and exploration drilling done, and then we can be much more definitive. But again, we see it as over 750,000 barrels a day.
Roger D. Read - Wells Fargo Securities LLC: Thanks. And one more clarification as we think about Guyana. I know Phase 1 here is an oil only situation, how are we thinking about the gas and the other liquids as you look at these future phases? Any plans to bring the gas to shore or are we thinking pretty much 100% oil in terms of production?
Gregory P. Hill - Hess Corp.: Well, I think that the grand majority of the gas will be re-injected in the reservoir. There is a small project being discussed with the Government of Guyana to bring a small amount of gas onshore for an onshore power plant. Other than that, all the gas right now is anticipated to be re-injected in the reservoir, because particularly in the Liza complex the gas is miscible. So there will be recovery uplift as a result of putting that gas in the reservoir.
Roger D. Read - Wells Fargo Securities LLC: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from Doug Leggate of Bank of America Merrill Lynch. Your line is now open.
Doug Leggate - Bank of America Merrill Lynch: Thank you. Morning, everybody.
Gregory P. Hill - Hess Corp.: Morning.
Doug Leggate - Bank of America Merrill Lynch: Guys, maybe I could kick off with a follow up on Guyana, just very quickly. I think Roger kind of hit the point about the 752,000 FPSO math doesn't really seem to make any sense, but can you walk us through what the exploration plan is for the second half of the year, it looks like Ranger has obviously been brought forward in the plan. But with a third rig coming in, what should we think about – what you're trying to identify for the second half and what I'm really trying to get at is, are we getting to a point where we're going to start to see parallel developments on some of these things as you move into that 2023, 2024, 2025 timeline?
Gregory P. Hill - Hess Corp.: Let me answer your second question first, Doug, I think regarding in parallel, we are in absolute agreement and alignment with the operator that the way to approach this development is in a phased manner, so that's currently the thinking right now and we're absolutely in support of that. Regarding the exploration drilling program for the remainder of the year, all I can say now is that next we go to Hammerhead, we just are in the final phase of drilling the top or drilling the top section on the Ranger-2, we'll go to Hammerhead, then most likely we'll go back to Ranger, the sequence for the fourth rig we're still working out with the operator, but obviously we've got a lot of stuff to do, and we've got a lot of stuff to do in kind of the Turbot Longtail area; there's some things that we'd like to drill there as well, potentially a good resource increase there. So the exact order, we're still working out but there'll be more and more in the Turbot Longtail area.
Doug Leggate - Bank of America Merrill Lynch: Just to be clear, Greg, is this a third rig or a fourth rig?
Gregory P. Hill - Hess Corp.: It's a third rig, yeah.
Doug Leggate - Bank of America Merrill Lynch: Third rig. Okay. Thank you. Okay, so my follow-up is if I could take you back to the Bakken for a second and I appreciate the color on the Keene and the Stony Creek wells doing better, but can you kind of walk us through, have you completed any plug-and-perf wells yet? Is that contributing to the better performance or is there something else going on with the better performance? And then your answer, Greg, I wonder if you could take one other comment I think John had made at a prior third-party conference that you're starting to look at potentially putting ESPs down some of these wells as well. So I guess I'm really just trying to get a prognosis for what was embedded in your guidance because clearly the better type curve wasn't embedded in your guidance. So what are you assuming in your guidance and how should we think about the risks for that guide and for well performance as we move into 2019?
Gregory P. Hill - Hess Corp.: Yeah, so Doug, the grand majority of our guidance reflects the sliding sleeve wells, and the reason for that is because we only have three of the plug-and-perf wells on right now. Now, they're doing better than expected, but it's early days. So we didn't want to build a whole bunch of uplift in the guidance at this point until we got more data on those plug-and-perf wells. So far so good, but we wanted to have confidence in the data before we did that. Now on ESPs, we've been evaluating the use of ESPs as well as some other forms of lift. As you know, some operators up there are doing gas lift as well, particularly in the areas that have higher fluid rates and require the use of additional liquids handling. And in particular, the plug-and-perfs, if they continue to perform and have high fluid rates, obviously that's something we're looking at. But at the end of the day, the decision on which forms of artificial lift we're going to use is ultimately going to be driven by economics, not volume. So it will be an economic decision as to what we do on the lift side.
Doug Leggate - Bank of America Merrill Lynch: Sorry to press you on this, Greg. Just to be clear, the Keene wells, the Stony Creek wells are doing 25% and 40% better than your type curve, and they're the majority I think of the completions in the second half of the year and that's not in your guidance. So why haven't you raised the guidance in the Bakken?
Gregory P. Hill - Hess Corp.: No, we've raised some of the guidance on those Keene wells but only on the sliding sleeve completions, Doug. So I wouldn't – watch this space, as we get more data, it will reflect itself in the production numbers, but we have not raised guidance on the Bakken until we get more data from the plug-and-perf wells.
John B. Hess - Hess Corp.: Yeah, I think the important thing here, Doug, and obviously you're onto something, which is with the improved completion techniques, we're doing a study to really optimize our investment in the Bakken going forward and we'll be ready to share the results of that study between now and the end of the year where we hopefully can give more specificity and clarity on to what our future production rates might be in the Bakken. So let's get a couple more wells under our belt, and as we do, incorporate that into our investment program, and then the output of that program, obviously focused on returns as Greg was saying, I think we'll be able to provide more clarity on the question you're asking by the end of the year.
Doug Leggate - Bank of America Merrill Lynch: Thanks for your patience, guys. I appreciate it. Thank you.
Operator: Thank you. Our next question comes from Devin McDermott with Morgan Stanley. Your line is now open.
Devin J. McDermott - Morgan Stanley & Co. LLC: Good morning. Thanks for taking the question.
Gregory P. Hill - Hess Corp.: Good morning.
Devin J. McDermott - Morgan Stanley & Co. LLC: I had first a follow up on Guyana as it relates to the addition of the third drillship later this year. I was just hoping to better understand the CapEx impact of that. Now, I noticed that overall, CapEx guidance for the year is unchanged, so are there some offsetting efficiencies you're seeing elsewhere in the business that are allowing you to keep CapEx flat with that addition of the drillship?
John P. Rielly - Hess Corp.: Yes. I mean, if you look where our run rate is right now, so for the first half of the year we came in at $909 million on our capital spend. And the reason is we'd look at that and say why isn't the guidance coming down, but it's because of these type of things that you mention. So, what do we have in the second half of the year? So Guyana, we do have the third drillship, as you mentioned, coming in, it's going to come in the fourth quarter, so that will be an impact. What we also have is a little more Phase 2 spend as we're again coming up on sanction than we had in the first half of the year, so we'll have Phase 1 in Guyana 1 and more Phase 2 spend in the second half of the year. And then the other component that we have that is going to raise capital in the second half of the year is the Bakken, right? So we have the fifth rig coming in now and the sixth rig coming in later in the year. And yes, so far, our efficiencies have been good with our program. But as we see it right now, we're reaffirming that guidance to $2.1 billion.
Devin J. McDermott - Morgan Stanley & Co. LLC: Excellent. That's helpful color. And then thinking just longer term on the overall cash flow profile of the company, you've talked about being cash flow positive post-2020. And I believe since then there's been upside to the Guyana resource estimate as well as potential for additional phases of development. Can you just talk about the latest thoughts there on cash generation post-2020 and also the ability to fund within cash flow these incremental developments at Guyana longer term?
John P. Rielly - Hess Corp.: Sure. The best thing that we can do for our portfolio and matching up with our strategy on generating free cash flow at a $50 environment is to add more oil resources in Guyana. It's just a fantastic asset. Obviously, you've heard all the attributes on it. But combined with the great reservoir characteristic, it just gives superior financial returns and has a very low breakeven price, as we talked about, at $35. So what happens is that you add Phase 4, Phase 5, what we've done for the portfolio is it continues to lower our breakeven price as we go forward and can generate more cash flow in a low price environment or in a higher price environment. Now, just to get to your specific question on timing on free cash flow, let me tell you what we know right now and as Greg mentioned earlier what we really don't have good information on. So starting with Phase 1, obviously we've got really good information on that, what the capital, what the timing is. Phase 2 feed is progressing rapidly, we expect to sanction that before the end of the year and achieve first oil by mid-2022. So we have good information on that. Phase 3 has now been sized, expected to be sanctioned during 2019, so we have a decent estimate on that. So with those three FPSOs in place, we do see that we can generate free cash flow at $50 post 2020 with those three FPSOs. Now, Phases 4 and 5 still require, Greg mentioned it, we've got additional exploration appraisal drilling in order to size the projects and optimize the development plans. So at this point, I really do not have a good estimate as to timing how much of that capital could be in 2021 and what exactly the amount will be for future phases. It will be further out in the future. But what we can say about this funding is the way we pre-position the portfolio with our asset sales that the funding is very manageable and that Guyana itself is expected to become free cash flow positive really once Phase 2 starts producing. So that, as I mentioned, will be in 2022. So again, for us, Guyana, it fits right in our strategy, driving our cost down and driving our breakeven for the portfolio so that we can really drive production growth and free cash flow.
Devin J. McDermott - Morgan Stanley & Co. LLC: Excellent. That makes sense. Thank you.
Operator: Thank you. Our next question comes from Arun Jayaram with JPMorgan. Your line is now open. Arun, if your line is on mute, can you please unmute.
Arun Jayaram - JPMorgan Securities LLC: Yeah, the first question is for Greg. Greg, as you test the plug-and-perf completions in the Bakken, can you remind us of how you're doing the well spacing within the Middle Bakken and the Three Forks for the plug-and-perf because I believe under sliding sleeve, you're doing eight wells or nine wells in the Middle Bakken per DSU, and maybe seven or eight in the Three Forks. I just wanted to see if you could give us a sense of what the spacing will look like for plug-and-perf?
Gregory P. Hill - Hess Corp.: Yeah. Again, it's early days. So what we're doing now is we are using the same well spacing that we're using with sliding sleeve because we want to compare the two. So, we want to have a valid comparison by keeping the well spacing the same. Now as we mentioned as part of the Bakken study, we're going to take our data, relevant industry data and one of the outputs of the Bakken study will help us confirm the appropriate well spacing, completion type and proppant loading for each area of the basin. So, that's ultimately what we're trying to determine. And then the penultimate question is, what's the way to maximize value from those DSUs in the Bakken? So that's what we're aiming for with the Bakken study and through our own experimentation.
Arun Jayaram - JPMorgan Securities LLC: And just can you remind us what the current spacing is under sliding sleeve, just to get the baseline?
Gregory P. Hill - Hess Corp.: Yeah. It's on the nine and eight, nine and eight configuration.
Arun Jayaram - JPMorgan Securities LLC: Nine and eight, okay. Okay. Great. And Greg, just in terms of the 3Q Bakken guide of 115,000 barrels of oil equivalent per day to 120,000 barrels of oil equivalent per day, you did 114,000 barrels of oil equivalent per day this quarter with some weather impacts. Do you view that guidance conservative?
Gregory P. Hill - Hess Corp.: No, I think we're back on track in the third quarter. So we're right within our guidance range on the third quarter, recovering from the weather impacts that hit us in very late June.
Arun Jayaram - JPMorgan Securities LLC: Got you. Got you. And my final question is just on Guyana, you have a gross 4 billion barrel kind of resource range. Can you help us think about potentially now five phases of the project? How much resource do you expect to recover in five of those potential distinct phases?
Gregory P. Hill - Hess Corp.: I think the recoverable resource on the block again is 4 billion barrels. I think those last two phases as I said before are very much in the scoping phase as to where that – where those vessels could lie, are they going to be in Ranger or are they going to be in Turbot, kind of complex where are they. So there's still a lot of uncertainty in that. But clearly, we've got a lot of oil to recover here; extremely high value. We're going to do that as judiciously as possible. So this is all good news.
Arun Jayaram - JPMorgan Securities LLC: Great. Thanks a lot.
Operator: Thank you. Our next question comes from Paul Sankey with Mizuho. Your line is now open.
Paul Sankey - Mizuho Securities USA LLC: Thanks, everyone. I wanted to ask about the free cash flow inflection, but you've clearly answered that. I guess one follow up would be, given this is so transformative for you in Guyana, the hedging, how do we think about that? And also I guess buyback given that you're currently buying back stock, is that really something that you'll be doing when you have these big asset sales, I assume? And then the final thing again thinking transformatively is dividend policy? Thank you.
John P. Rielly - Hess Corp.: Sure. So, let me get the dividend policy and the buyback. So let me just start where we are with that right now. I think as you know, we've got $500 million left under our share repurchase program right now, and we expect to complete that by the end of the year, and we're targeting $250 million in the third and $250 million in the fourth. And so, as we look at it, we've got drilling coming here in the third quarter, we got an exciting well in Suriname, another well as Greg mentioned, Hammer on what our investment plans are going forward. So, it's a little early right now, we'll get to the end of the year, we'll see where prices are and at that point in time, we'll look where we are and see if there's anything from a buyback or debt reduction as we look into the future. Was there, I forgot, Paul, did you have another?
Gregory P. Hill - Hess Corp.: Hedging.
John P. Rielly - Hess Corp.: Hedging, sorry.
Paul Sankey - Mizuho Securities USA LLC: Yeah. I started with hedging, but you sort of headed towards dividend. Go ahead, sorry.
John P. Rielly - Hess Corp.: Yes. So from a hedging standpoint as I mentioned we did add 35,000 barrels a day for 2019 and you can expect us to add a bit more for 2019. Why again, it's we're still in the investment phase, Guyana production hasn't started up in 2020. So again from our standpoint, we just think it's prudent to put some insurance on in 2020. Obviously when we get to the free cash flow phases of Guyana then we're in a different position and hedging may be less as we move forward, and that's when we're generating the growth and free cash flow is when we'd start looking at our dividend policy as well and potentially increasing it at that time.
Paul Sankey - Mizuho Securities USA LLC: Great. Thank you. And then the follow-up would be, you talk about a $35 breakeven for Guyana, many of us on the call are oil finance nerds. Could you talk about the assumptions that you make to get that breakeven? Thank you.
John P. Rielly - Hess Corp.: Sure. It's not – you don't have to do really that much from an assumption standpoint. So the contract is out there and it's public. It's there. We can't from a confidential standpoint talk about it, but it's public, so you can look at the contract. And the unique difference from a Guyana versus just – let's just call it a U.S. on a tax and royalty system is the production sharing contract impact. So, even if we're in a great point in the cycle and you have low cost from that, so you can get low F&D in the Gulf of Mexico. But what happens is if prices are lower, then obviously your breakeven is affected because you're not being able to get additional barrels out of the ground. With a production sharing contract what works with that is your cost recovery gets affected by the price. So, as prices go lower, you get more cost recovery to help with that and that's the way the point of a production sharing contract. So, it's really the mixture of – the mixture of the reservoirs, how good they are, the low point in the cycle, the F&D costs associated with it and the production sharing contract that gets you to that $35.
Paul Sankey - Mizuho Securities USA LLC: That's great. I appreciate your answers. Thank you, John.
Operator: Thank you. Our next question comes from Brian Singer with Goldman Sachs. Your line is now open.
Brian Singer - Goldman Sachs & Co. LLC: Thank you. Good morning.
Gregory P. Hill - Hess Corp.: Good morning.
Brian Singer - Goldman Sachs & Co. LLC: You've undergone a significant restructuring here in preparation for the Guyana development and production, selling the non-core assets, repurchasing shares. I wonder if you consider yourself towards the final innings of that restructuring with a $0.5 billion of share repurchase left and the Utica assets to close in the third quarter, or do you see any more to come on the asset shifting side of the equation?
John B. Hess - Hess Corp.: Yeah. The portfolio reshaping, I'd say the majority of the work's been done. There are one or two assets that still if we got full value for them, we would consider monetizing; if not, we're happy to have them in the portfolio because they're good cash generators. Having said that, I think the key point going forward is as both John and Greg have said; Guyana is really a truly world-class investment opportunity. One of the best if not the best in the industry with low breakeven oil prices and high financial returns across the industry, it's one of the best. So our first, second and third priority is to fund that, maintain a strong balance sheet, investment grade credit rating to ensure we have the capacity to do that. As we get further definition regarding our future capital requirements for the third phase of development and then potentially a fourth phase and fifth phase as well as the outlook for oil prices, then we're in a better position to give consideration to further returns of capital. But right now, we're focused on execution, finalizing the share repurchase program that we have and bringing more clarity both to our Bakken growth plan and our Guyana growth plan. So that's where we are, but we love the position we're in. And obviously, I think we're going to be in a position to generate superior financial returns and cash flow generation for many years to come as Guyana comes to fruition and our Bakken plan does as well.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thanks. And then my follow-up is with regards to that third drillship specifically from an exploration perspective, it sounded like there are some priorities for appraisal at Ranger and elsewhere, but can you speak more to the when and potentially where we would see exploration within the Stabroek Block? And maybe relatedly, can you talk about the extent to which the Ranger and Liza discoveries have de-risked the portion within Stabroek in between the two discoveries, the acreage in between and the plan for exploration there?
John B. Hess - Hess Corp.: Yeah. The third ship is going to – as we understand from the operator now we're working with the operator, going to be focused on bringing further definition to the greater Turbot area with the success that we had at Longtail. To your point, this area is starting to be de-risked, we see some other prolific sand channels there and potential resource adds. So, that's what the third ship is going to try to appraise. The other exploration ship as Greg said goes to Hammerhead first, in the coming days that should be spud, then after that we'll go to further appraised Ranger, maybe one or two wells, we'll see where that goes. And yes, obviously, as we get definition in each of those campaigns and we get further seismic work correlating the well results with the seismic, we definitely see numerous more prospects on the block. I think Exxon said and we would agree, there are probably another 20 exploration prospects on the block to drill and yes we do see the Stabroek Block being further de-risked as we have more success remember, we're 8 out of 10.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thank you.
Operator: Thank you. Our next question comes from all Paul Cheng with Barclays. Your line is now open.
Paul Cheng - Barclays Capital, Inc.: Hey guys. Good morning. A number of questions ...
John B. Hess - Hess Corp.: Good morning.
Paul Cheng - Barclays Capital, Inc.: ... first is for Rielly. On the hedges for 2019, do you have an estimate what is the amortization cost?
John P. Rielly - Hess Corp.: Sure. The cost of the 35,000 barrels a day was approximately $50 million. So, it would be....
Paul Cheng - Barclays Capital, Inc.: For the full year?
John P. Rielly - Hess Corp.: ... amortized over for the full – for the full year.
Paul Cheng - Barclays Capital, Inc.: And that's after tax?
John P. Rielly - Hess Corp.: Yes.
Paul Cheng - Barclays Capital, Inc.: And John when – previously I thought the 2018 hedges you already closed out or that you already have to offset things so that I thought the amortization charges should be stay constant, why is edging up over the last several quarter? I mean initially you're talking about $30 million a quarter and then $40 million, now they're talking about $45 million. Any particular reason or, now it is $50 million, why there has been hedging up?
John P. Rielly - Hess Corp.: Sure. There's two reasons, one that the jump from the $30 million to $45 million was due – you remember, we did have a collar in place with the $50 WTI options at $65 and we bought back that collar and obviously we're benefiting from the higher prices right now from that purchase. So, that increase from $30 million basically to $45 million. The only difference between the $45 million and $50 million is due to accounting. You have mark-to-market on the way these hedges, you get this ineffectiveness. So we've got this additional amount that sits in other comprehensive income that's going to be amortized for the remaining part of the year, so nothing except accounting associated with that.
Paul Cheng - Barclays Capital, Inc.: Okay. On the Phase 2 Guyana – on the development, should we assume that the unit cost is going to be about the same as Phase 1 or that because it's a new drillship, so that is going to be higher?
Gregory P. Hill - Hess Corp.: So we are still, we're progressing feed right now and getting all of that information. So I'd prefer, Paul, we're going to be at the end of the year that we can be a little bit more specific on it. But obviously what I would tell you, this is still going to be a terrific investment there. But right now we're still working with the operator on exactly what the costs will be. We're working through the feed and we'll update you at the end of the year. And... (56:01)
John P. Rielly - Hess Corp.: What I will say, Paul, what I will say is that based on what we know so far that the costs are coming in lower on Phase 2 than they did for Phase 1 for most of the service line. So obviously that bodes well for Phase 2.
Paul Cheng - Barclays Capital, Inc.: And Greg, should we assume 220,000, that given that size (56:21), that would be a new drillship, right?
Gregory P. Hill - Hess Corp.: Yes, that will be a new build.
Paul Cheng - Barclays Capital, Inc.: Because that Phase 3, on the other hand, will be potentially refurbished. If you only go for 180,000, is that the way how we should look at it?
Gregory P. Hill - Hess Corp.: Yet to be determined, but I think it will be no matter what it is, it's going to be consistent with this design one, build many, very efficient kind of strategy where the only thing that flexes is the topsides, those will be modular based on the specific attributes of the development.
Paul Cheng - Barclays Capital, Inc.: And can you give us some rough idea of what's the different cost between the refurbished and a new drillship, is that about $1 billion difference?
Gregory P. Hill - Hess Corp.: Paul, I don't have that information in front of me. What we're doing right now is just working with the operator. Obviously ExxonMobil has been doing a terrific job on that. We could refer that type of question to them, but we'll be again trying to maximize value on this is as we move from Phase 3.
John B. Hess - Hess Corp.: Yeah. I think the key point here, Paul, is we're finalizing our costs. The operator is doing a great job getting those numbers to be as cost efficient as possible. When we sanction the second FPSO, you'll have the number, and that will be before the end of the year, and then you'll be able to compare as other investors will with our Phase 1 ship as well. So, once we finalize the sanction numbers, we'll give them to you, and then you'll be able to compare that with the first ship that we already have contracted.
Paul Cheng - Barclays Capital, Inc.: And John and Greg, (57:59), now that you no longer put it up for sale, how should we look at that asset, that I think before you put it up for sale, at one point you were thinking about spending some money to gradually expand the production. So, now that you are no longer selling it, should we just assume you're going to maintain it as flat or allow you to decline over time or you're trying to grow it a little bit over time, so how should we think of it?
Gregory P. Hill - Hess Corp.: Yeah. Paul, South Arne is a very good cash generating asset. Obviously, Brent based pricing generates good cash flows, and it has upside potential both in terms of optimizing the field and further production with some investment, and also some nearby exploration that we could tie in. So, we're coming up with our plans now to have an investment program there. It will have to compete for capital in the rest of the portfolio. But having said that, as we get further definition on what our investment program there, which we think will be very manageable, we'll be happy to communicate that to you. And we're going to retain the asset. We're happy to do it. It's all about value. And in the normal course of business, we'll continue to evaluate options to maximize its value.
Paul Cheng - Barclays Capital, Inc.: Sure. Hey, final one from me is probably for John Rielly, that if we're looking at your 2018 Midstream tariff, say call it $640 million, $650 million, that's roughly about $16 per barrel for the Bakken production. And that must be including some minimum volume. So as we looking out, when you get to 175,000 barrel per day, by 2021, what kind of unit tariff that we should be assuming?
John P. Rielly - Hess Corp.: So first, Paul, we do put in the supplement, you can see, how the Midstream tariff then gets calculated in coming back to Hess net barrels, because the first thing, when you calculate it on those numbers, you're getting kind on a tariff applied to a net number, which is really applied to gross volumes and also includes third-party numbers. So if you look at the supplement which we do, we'll put that in place after the call here, you'll see for us it's about $8.70 on a gross basis for our barrels. And then, we have 50% of that. So it's sitting in that kind of $4.00, $4.60 type range net to Hess. Then as we see going forward, when the volumes do increase from the Bakken, you will get – it is factored in, the growth is factored in the way we calculate the tariffs – but over time obviously, you'll get the efficiency of scale impact to those tariffs.
Paul Cheng - Barclays Capital, Inc.: Now do you have a number you can share by 2021?
John P. Rielly - Hess Corp.: No. So, I mean, again, we've talked about the Bakken study, what we're doing now, that all has to be integrated into our infrastructure plans and that will work into the tariffs. So that's all part of the Bakken study to maximize value.
Paul Cheng - Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. Our next question comes from Michael Hall with Heikkinen Energy Advocators (sic) [Advisors]. Your line is now open.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Michael Hall with Heikkinen Energy Advisors. Yeah, no problem. So, most of mine have been answered at this point. I'm just curious, on the Bakken, earlier in the year you had talked about a 4Q rate of around 120 to 125 mboe a day. Is that still in the cards? Is that something we should still be modeling towards? It sounded like maybe sub 120 per the comments, but I didn't know if that was just kind of rounding, for a lack of a better word?
Gregory P. Hill - Hess Corp.: So I just want to make sure what you're asking, Michael. So on the Bakken volumes that we're talking about as we were getting to the end of the year?
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Yeah, I think it was about two calls ago or something, you talked about 120 to 125. Is that still fair?
Gregory P. Hill - Hess Corp.: Yeah, you can still expect us to be at 120,000 barrels plus in the fourth quarter...
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Okay.
Gregory P. Hill - Hess Corp.: ...in the Bakken. In fact if you just look at our guidance and the way we have the 115,000 to 120,000 barrels in the third and then going 115,000 to 120,000 barrels for the full year, you'll see we are still planning to be above 120,000 barrels.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Got it. Yeah, I didn't know if that comment on the full year meant the rest of the year or – sorry, I was just trying to clarify.
Gregory P. Hill - Hess Corp.: No, no.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: That's helpful. Okay. And then the remaining wells to be turned online in the Williston this year, are those relatively evenly loaded across the year or is there any emphasis in 3Q or 4Q just from a timing standpoint?
Gregory P. Hill - Hess Corp.: More of them will be in the fourth quarter because what happens now is we get the fifth rig coming in, really any wells that are drilled by the fifth rig, that won't impact the third quarter. That's why we'll get more wells online in the fourth quarter and the production going up from there.
John P. Rielly - Hess Corp.: Yeah. The fourth quarter is going to be a very big quarter in terms of wells online.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Okay. And then the last one, I guess, just on the Williston again and can you just quantify how much the weather impacted 2Q in June?
John P. Rielly - Hess Corp.: It was a couple thousand because we were, as Greg said, we were right on track April, May, it was June and the weather – and that month was affected. So overall for the quarter it was a couple thousand barrels. And right now we are right back on track where we were before.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Great. That's it. Thanks very much.
John B. Hess - Hess Corp.: Thank you.
Operator: Thank you. Our next question comes from Phillips Johnston with Capital One. Your line is now open.
Phillips Johnston - Capital One Securities, Inc.: Hey guys, thanks. Greg, just to follow up on the prior questions about Keene, as we look out to 2019 with the rig count entering the year at six versus four in the first half of this year, from a directional standpoint should we expect activity will be less focused on the Keene area with the mix maybe dropping down to closer to a third of completions versus close to half this year, or would you expect to keep the Keene mix closer to 50%?
Gregory P. Hill - Hess Corp.: No. I think the Keene percentage will go down, but obviously in our 2019 budget we'll update the guidance because we will be most likely in a 100% plug-and-perf mode by then. So all the IP180s and everything will have to be updated as we do our planning guidance for 2019.
Phillips Johnston - Capital One Securities, Inc.: Okay.
Gregory P. Hill - Hess Corp.: But, yes, there will be fewer Keene wells next year than this year.
Phillips Johnston - Capital One Securities, Inc.: Okay. And can you quantify...
Gregory P. Hill - Hess Corp.: But that doesn't mean IP180s average for the year will be less. With plug-and-perf, there would be upward pressure on IP180s in a plug-and-perf situation. But we'll update all that when we give guidance next year.
Phillips Johnston - Capital One Securities, Inc.: Okay. And you've quantified how many remaining locations there are at Keene or is that something that will come out after the study?
Gregory P. Hill - Hess Corp.: That's something that will come out after the study as well.
Phillips Johnston - Capital One Securities, Inc.: Okay. And then just a question maybe for John Rielly. You guys have reported working capital cash outflows for the past six quarters that have amounted to roughly $1 billion or so. What have been the primary factors there? And when would you expect that trend to sort of reverse?
John P. Rielly - Hess Corp.: Sure. So first of all, we did have the hedging, right? So we'd kind of gone through with our hedges. Now we will have, as I mentioned earlier, we have $50 million on our 35,000 barrels a day in 2019. So that will come in the third quarter. So our hedging do go through there. Some of the things that were basically impacting us besides the hedges of premiums paid is we do have – you've got your normal things like pension contributions, you've got – we had abandonment. If you're going back several quarters in when we had Valhall, those were always significant amounts. We've got timing on income tax payments related to Libya, in the 93.5% tax rate. So those will always continue. And what I would say is on a normal run rate basis, our first quarter and our third quarter were going to be the higher pulls on working capital. So you have – because one, we – that's the semi-annual payments on our bonds happen in the first and third quarter. The first quarter always has your bonus payments in there as well. And then, outside of that, it's just normal recurring. So the only unusual things that we'll get in there is kind of from the hedging and things like that. So if you looked at this quarter, right, it wasn't much of a pull in cash flow and you can see it was an add in fixed assets. So we actually, on an overall basis, working capital had a positive on the bottom line from it. So things are going to move in and out just like that and first and third being bigger and second and the fourth not so much.
Phillips Johnston - Capital One Securities, Inc.: Okay. Sounds good. Thank you.
Operator: Thank you. Our next question comes from Jeffrey Campbell with Tuohy Brothers. Your line is now open.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Good morning. I wanted to just ask Greg to kind of step back and give me an overview of all this plug-and-perf stuff. In the past, I thought you had said that you felt these were going to be best for maybe Tier 2 type resource, but it sounds like that it's, particularly based on what you just said about 2019, it sounds like this is moving towards becoming a primary way to complete the wells, so maybe I was confused. But, could you just talk about it kind of on a higher level?
Gregory P. Hill - Hess Corp.: Yeah. You bet. So I think you are correct. We always knew that as we went outside the core of the core that we would have to use plug-and-perf, so I think we've always said that. But what we are doing is part of the Bakken study, because some of our competitors are using plug-and-perf in the core of the core. We're trialing some of that as well. So again, our mission here is for the two-thirds of the inventory remaining in the Bakken, what is the best way to maximize value per DSU both in the core and outside the core. So we wanted to get some wells in the core as well to do a good comparison. So that's the ultimate, ultimate objective of the Bakken study. Now based on the results, so far, and again it's a limited sample but based on the results so far indicatively it looks like that even plug-and-perf in the core can give you an improvement. So, but, at the end of the day we're going to go area by area in the field and answer that question, what's the best way to maximize value per DSU. And that answer could vary depending on where you are on the field and the completion design could vary dependent on where you are in the field. Right now directionally we're just saying plug-and-perf looks pretty good, so from an assumption standpoint let's assume that we're going to do plug-and-perf throughout the field.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Well that's helpful and also I assume as you always say that case-by-case it's going to be economics, so if – if it were somehow possible that sliding sleeve would produce a better economic in....
Gregory P. Hill - Hess Corp.: Yeah.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: ....some place then you would use that.
Gregory P. Hill - Hess Corp.: Exactly. And I think what's happened with plug-and-perf, so there's been quite a change in plug-and-perf over the last couple of years which kind of changes how we think about it and that's the introduction and perfection of limited entry perforating. So, that allows you to tightly control where your proppant and fluids are going. And then secondly the cost of plug-and-perf have come down substantially during the downturn. So, that made plug-and-perf come more into queue on a comparison basis to sliding sleeve. And then finally we reached kind of the technical limit on sliding sleeve is about 60 stages is all you can really stuff in those. So, I can get more stages, have tight control and is a cost that's not that far off of plug-and-perf, or sliding sleeve. So, therefore it makes sense to evaluate that technology now.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: That was really helpful. I appreciate it. And I just wanted to ask quickly, you mentioned you're going to go to six Bakken rigs by the end of the year, and I think you said you've already added a third frac crew. I was just wondering, is this the activity level that you see maintaining going forward or are you still unsure until you complete the development study?
Gregory P. Hill - Hess Corp.: No, I think directionally it looks like six rigs is about right, and that's a function of -- you don't want to build infrastructure too fast and overbuild and not be capital efficient. So six rigs at this point is still kind of the sweet spot. The third frac rig -- frac crew will be added in the latter part of the year. So we have not added that yet, but it's on its way.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Okay. Well, thanks for clarifying that. Okay, thank you very much.
Operator: Thank you. Our next question comes from Pavel Molchanov with Raymond James. Your line is now open.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Hi, guys. Just one question for me, kind of a high level point about Guyana. Given the new targets you're putting out for 2025, at least a third, possibly half of the company's net volumes will be coming from Guyana at that point. How comfortable are you just kind of conceptually with that level of asset concentration, and to state the obvious, what's historically been somewhat of a frontier market?
Gregory P. Hill - Hess Corp.: We're very happy to have one of the truly world-class investment opportunities in the oil industry that keeps getting bigger and better. We believe that our 30% working interest is appropriate for this world-class asset. We have a world-class operator in ExxonMobil, and so we're happy to have this opportunity to invest shareholder money which has a very high financial return. So net-net we are happy with it and you got to remember, it's part of our portfolio, we also have the Bakken, we also have the Deepwater Gulf and also Malaysia. So the combination of that portfolio I think manages and is really managing not only the risk of the different investments but the financial performance of those. So we think our focused portfolio with that balance and that's the key makes Guyana standout and be positioned the best way that it can be for our shareholders.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay, clear enough, appreciate it.
Gregory P. Hill - Hess Corp.: Thank you.
Operator: Thank you very much. This concludes today's conference, thank you for your participation. You may now disconnect. Have a great day.